Operator: Ladies and gentlemen thank you for standing by and welcome to the Realty Income First Quarter 2011 Earnings Conference Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator instructions) This conference is being recorded today Thursday April 28, 2011. I would now like to turn the conference over to Mr. Tom Lewis, CEO of Realty Income. Go ahead sir.
Tom Lewis: Thank you, Joe. Good afternoon everyone and welcome to the call. And obviously our purpose is to review our operations during the first quarter of 2011. And as always, I’m obligated to say that during this conference call, we will make certain statements that may be considered to be forward-looking statements under Federal Securities Law and the company’s actual future results may differ significantly from the matters discussed in the forward-looking statements and we’ll disclose in greater detail on the company’s Form 10-Q, the factors that may cause such differences. And as we normally do, Paul Meurer, our CFO will start this off and walk through our numbers.
Paul Meurer: Thanks, Tom. As usual, I’ll provide some comments and brief highlights of our financial results for the quarter starting with the income statement. And our total revenue increased 18.4% to $97.8 million this quarter versus $82.6 million during the first quarter of 2010. Obviously, this reflected the significant amount of new acquisitions over the past year, as well as some positive same-store rent increases for the quarterly period of 1.1%. On the expense side, depreciation and amortization expense increased by almost $3.8 million in a comparative quarterly period, as depreciation expense obviously has increased as our property portfolio continues to grow. Interest expense increased by just over $3.7 million, and this increase was due to the $250 million of senior notes due 2021, which we’ve issued in June of last year. On a related note, our coverage ratios both improved since last quarter with interest coverage now at 3.5 times and fixed charge coverage now at 2.8 times. General and administrative or G&A expenses in the first quarter was $7,870,000, as we’ve mentioned over the past couple of quarters the increase in G&A recently is due largely to recent hiring in our acquisitions and research department. Our G&A expense has increased as our acquisition activity has increased, and as we have invested in new personnel for future growth. Furthermore though, this quarters G&A was also impacted by the expensing of $371,000 of acquisitions due diligence cost mostly related to the large portfolio acquisition that we announced last month. Our current projection for G&A for 2011 is approximately $29 million, which will represent less than 7% of our total revenue. Property expenses were $1,983,000 for the quarter. And of course these expenses are primarily associated with the taxes, maintenance and insurance expenses, which we are responsible for on properties available for lease. Our current estimate for 2011 is approximately $7 million for property expenses. Income taxes consist of income taxes paid to various states by the company. They were $350,000 during the quarter. Income from discontinued operations for the quarter totaled $396,000. Real estate acquired for resale refers to the operations of Crest Net Lease, our subsidiary that acquires and resells properties. Crest did not acquire or sell any properties in the quarter and overall contributed income from discontinued operations of $222,000. Real estate held-for-investment refers to property sales by realty income from our existing core portfolio. We sold three properties during the first quarter resulting overall in income of approximately $174,000. These property sales gains are not included in our FFO or in the calculation of our AFFO. Preferred stock cash dividends remained at $6.1 million for the quarter and net income available to common stock holders increased to approximately $29.9 million for the quarter. Net income or funds from operations or FFO increased 21.2% to $56.6 million for the quarter. On a per share basis, FFO increased 6.7% to $0.48 for the quarter. Adjusted funds from operation or AFFO or the actual cash we have available for distribution as dividend was a penny higher at $0.49 per share for the quarter. Our AFFO is usually higher than our FFO because our capital expenditures are fairly low and we have minimal straight line rent in our portfolio. We increased our cash monthly dividend again this quarter. We have increased the dividend 54 consecutive quarters and 61 times overall since we went public 15.5 years ago. And our dividend payout ratio has now continued to decrease, for the quarter was 90% of our FFO and about 88% of our AFFO. Turning to the balance sheet, we have continued to maintain a very conservative and safe capital structure. Our current debt to total market capitalization is only 25% and our prepared stock outstanding represents just 5% of our capital structure. In March we successfully raised $300 million of new common equity in order to finance new property acquisitions. Since many of these acquisition did not close in the first quarter. We had $130 million of cash on hand at March 31st. We also have zero borrowings on a $425 million credit facility and we had no debt maturities until 2013. So, in summary, we currently have excellent liquidity, and our overall balance sheet remains very healthy and safe. Now let me turn the call back over to Tom, who’ll give you a little bit more background on these results.
Tom Lewis: Thanks, Paul. I’ll go through each segment of the business and start with the portfolio. Obviously the portfolio continue to perform well during the quarter and kind of all across the board operations continued to improve, which we had over the last few quarters. There is no significant tenant issues that arose during the quarter, and we have none on our radar, and at the end of the quarter relative to the larger tenant, about 15 tenants in the portfolio accounted to about 53.8% revenue and that’s down 80 basis points from last quarter primarily as a function of some new acquisitions and new revenue and the average cash flow coverage of store level for the 15 tenants remains fairly high at, a little over 2.3 times, it’s about 2.33 so very healthy. Occupancy at the end of the quarter as you saw on the release was 96.8%, we had 81 properties available for lease out of the 2519 in the portfolio, that’s up 20 basis points from last quarter and about 10 basis points from where we were a year ago and very light activity in portfolio management, but consistent we had 10 new vacancies which was one less from last quarter and we at least sold 13 properties and during the quarter we added to the property portfolio and that’s the reason for the uptick in occupancy. And still a 96.8 up each quarter for the last few quarters as we expected, but pretty good results. Same store rents are starting to accelerate a bit, they were up 1.1% during the quarter, they were up 1% in the fourth quarter and 0.3% in the third quarter and we think we’ll see those continue to increase as the year goes on and move it a modest pace, but positive. And if you look basically where the same store rent came from, we have four of our industries that have declining same-store rent, each of which were pretty modest and that was in restaurant side of service, general merchandise and drug stores and the core declines were only about $333,000 in rent for the quarter. Three of the industries have flat same-store rents and then there were 22 that saw same-store rent increases, about half of that came from our tenants and the theater business, but we also had decent increases from the RB dealerships we have in the portfolio, which obviously is very nice to see coming off in the last couple of years, as their business has improved. And then in child day care and sea stores, the balance was pretty small. But altogether, the 22 industries had about $1.2 million in increases. And so if you net that out you get to about $850,000 in same-store rent. We continue to sees gains in the same-store rents this year and that’s been going on now for several quarters. And it’s just kind of looking into this quarter. Once again, we think we’ll see something similar when we report next quarter. We continue to be well diversified. If you look at the 2,519 properties we added, we’re up 23 in the count from last quarter that’s in 31 different industries with a 125 multiple unit tenants in the 49 states. And our industry exposures remained well diversified. Convenient stores now have jumped to our largest in the portfolio at about 19.9% of rent, we obviously like that industry. Restaurants is now second and continues to come down that was at 18.9% and that’s down about 300 basis points from a year ago and we think that we will continue to decline modestly. After that it jumps all the way down to theaters at 8.1% and it’s fairly well diversified. As you see in the report, the largest tenant is the Diageo at about 5.7%. Second is AMC at 5.3, and again the 15 largest are about 53.8% a rent, when you get through the 15th largest tenant you are down to about 2.2% a rent and while not in the release when you get to tenant number 28, everybody else on the portfolio is below 1% of the rent and as we add more acquisitions here we think those percentages will continue to decline and we will have a more diversification pretty much regardless of how you look at it. From a geographic standpoint, the one state that’s over 10% is California. However over half of that is Diageo, and if you look at the business that we have there that is well centered out of California most of the revenue is booked on a national basis and only about half of the exposure really comes from California and then it drops to Texas at 8.9 and Florida at 7.5, those are obviously both very large states. Average remaining lease term in the portfolio is at a 11.5 years that’s up a little bit from last quarter and a function of acquisition, and we think that will continue to increase as we buy more things this year. Overall, then I think the portfolio is very healthy and just modest improvements continues here coming out of kind of a drop last summer. Moving on to acquisitions, during the first quarter we were very active, we bought 26 properties for a $150 million. Lease yields or cap rates right at about 7.9%, lease term 16, little over 16.5 years and the 26 properties that we brought were leased to six different tenants in five different industries and as we mentioned in the release, about a 130 of the $150 million was part of the transaction that we announced earlier in the quarter that will close over a couple of three quarters. And if we look at this now after completing the balance of the $544 million over the next couple of quarters, that will get us to about $565 million for the year that will close right now, which is pretty good number at this point in the year. We would anticipate cap rates at about 8% or so and if you look at our progress in closing. We closed another $100 million or so here in April, and most of that again was part of that $544 million and the rest of at least spread out of the next three, four months. Obviously given that start, we think it will be a very good year for acquisitions. We’re still using in our guidance 6 to $700 million in acquisitions for the year. We think that’s pretty conservative and we’ll update that as we do more underwriting and see what will end up. We think we’re going to close on the portfolio. And as it is typical in almost any time for us, we’ll close about 20, $30 million a quarter and that’s in smaller transactions just by being out in the business and then the overall acquisition volume for the year is going to be a function of how many larger transactions that we do like last year where I think we close three larger transactions during the year, that got us to about $700 million. We’ve obviously started the year very well with one of them this year and while we continue to see some larger transactions. We’ll have to see, if there are any of them that the balance for the year come in for us. If they do obviously, it could be another very big year in acquisition and if they don’t given the start we have, we think we’re still in a pretty good shape. How relative to cap rates and spreads, it is very competitive out there in the business for a lot of people with capital. I think, we’ll continue to get our fair share of that, given our access to capital and ability to close. But I think we wouldn’t want to describe it, it’s not being a comparative environment but that’s been the case in most years. Cap rates, I think if you’re looking in the investment grade area, I think 7% plus up in the mid to high seven and managing move down or move up the – down the credit curve then you’re probably looking at things up in the 8% caps and on up to 9% and for us this year, we think we’ll blend out again somewhere around 8%. I think while that’s consistent with last year but down a little bit from previous year’s given capital cost spreads remain very high. So it continues to be a very accretive time to go out and acquire new assets in access to capital markets. I think again, this quarter and that – it should be in the next few quarters and certainly it was last year. The main thing relative to our cap rates over the last year has been moving up to credit curve with acquisitions about a $130 million up to $150 million. We did this quarter was with investment grade type tenants. That’s probably lots off 50 to 100 basis points of our yields from what is the traditional tenant base, but given weaken likely blend to about 8% caps this year. I think if you look at the historical spreads even it’s working up the credit curve, the spreads are very attractive. And I have mentioned in the past, if we go back over the last 15, 16, 17 years since we’ve been public and you look at the average spread of cap rate over a nominal cost of equity, which is kind of taking your forward FFO yield and grossing it up for issuance. Generally, cap rates on closing have been about a 105 basis points over that nominal cost of equity and today we’re closer to 150 to 200 basis points while working at the credit curve. And I think it was also attractive about that today. Obviously if you can look at the debt, equivalent debt of the tenant with the same maturity, you’ll find that the spreads we’re achieving here on doing the net leases are significantly higher what you’d see in the equivalent debt and that’s – that’s pretty attractive to add to the balance sheet. Relative to the flow of acquisitions, I would say that the transaction flow that we have to look at is steady and consistent with what we have last year. We’re not seeing a big increase. So I know as we got through early and mid to last year, we’re really accelerated in the volume we looked at. And I’d say that that is flattened out a bit, but still it is a very good pace and we’re very active in underwriting. So it’s a pretty environment if we can find the transaction. And we are cautiously optimistic that we’ll be able to do so on a competitive market this year. Relative to our guidance, obviously getting a strong start to acquisitions and good performance in the portfolio is very helpful to – in revenue FFO and AFFO. And given a continuance in accelerated acquisition activity during the first quarter that we think that will continue, and should be pretty additive to the FFO and AFFO this year. A couple of items relative to the first quarter FFO, Paul mentioned there was about $371,000 in transaction costs – costs on what we closed this quarter and those should go away in the second quarter relative to revenue stream traded by buying those assets and then additionally as most of you know, we also took the opportunity to access the equity markets during the quarter to pre-fund the good part of these purchases. So we have more shares out and cash on hand about a $129 million that prepared for the balance for closing rest of those portfolios, but obviously its put us in a good liquidity position and given us the ability to continue to acquire. And those all went into guidance. And then as I said acquisitions were still using $6 million to $700 million and we’ll kind of balance that and change as we go along. For 2011, we’re still estimating $1.98 to $2.04 at 8% to 11.5% FFO growth and a little higher AFFO 2.03% to 2.07% which will allow us to grow the dividend here in 2011 and at the same time as Paul mentioned bringing the payout ratio down and if we can have acquisitions accelerated that further added out to the numbers. Paul mentioned the balance sheet in access to capital, there is no balance on the line and we obviously have enough cash on hand to close the acquisitions that we’ve done and with no debt coming due. The balance sheet really is in great shape with debt to EBITDA about 4.5 times and we’re quite liquid. The other thing I now want to mention, this quarter we did put into effect a direct stock purchase program also dividend reinvestment program. And for those of you that haven’t had a chance, we also reconfigured and relaunched our website, which we’ve tried to make very consumer oriented for our shareholder base. And so if you get a chance, you might want to take a look at that some time. But to really summarize the quarter, I think good stability in the portfolio very nice and modestly improvement, good start to acquisitions and it’s nice to see those acquisitions coming out of next year now starting to drive the revenue the AFFO and the FFO and that so it’s positive for dividend increases. And with that, I think what we’ll do Joe if you’ll come back? We’ll open it up to questions.
Operator: Thank you, sir. (Operator Instructions) And our first question comes from the line of Anthony Paolone with JPMorgan. Go ahead please.
Anthony Paolone – : Hi, thank you and good afternoon everyone.
Paul Meurer: Hi, Tony.
Tom Lewis: Hi, Tony.
Anthony Paolone – JPMorgan: Tom, you may have touched on this in your comments and I may have missed it. But as you look at the other types of products that you bring into the portfolio with this large portfolio transaction, how big a part of the company do you think that can became or how do you kind of put parameters around – around that like you’ve done on the industry sector with – with discuss that would be done historically?
Tom Lewis: It’s a great question. We shut down a couple of years ago when we really started working on this. And when we started talking about targets we really wanted to referring from having targets. We have – as you know, we’ve never really said for the year we want to buy $300 million or $500 million or $700 million because than that tends to be what you in that buying regardless of underwriting and we’d rather focused on thing. We’re going to go the – into these areas, look at as much as we can and them limited to those things that really that the underwriting characteristics – that we don’t have a particular target. I think the primary thing rather than property type is to really look at and say you know over the years, one of the best things we’ve done has gone from five industries in the portfolio to 30 and that had all kinds of benefits relative to risk reduction of our cash flows to the reputation and also due to us being able to allocate to a wider variety of industries. And we would like to move that up over the years to 40 or 50 and maybe even 60 industries that we can allocate capital to. But the pace at which it comes in any particular property type, we really don’t have a target. We do continue to not want any industry to move over 20 and we’re closer when they’re down around or below 10%. But at the main part for right now as you look through getting this year and next year, we’re still going to have the vast majority of our assets that are going to be in retail and we’ll add to these as they come along. This was obviously – you look at last year and we had to be ideal purchase which is about $300 million and this is $544 million of which I think 67% of this was outside of the retail of 33% in and that goes together or obviously some large numbers. But adds in the couple three bigger transactions, I think it will be more incremental as we add them and we don’t have particular targets.
Anthony Paolone – JPMorgan: Okay. And how this – how much does looking at single tenant office, single tenant industrial add to your deal pipeline like do you – like opening up to that stuff because it’s just massively increase the deal flow or what you guys potentially look at?
Tom Lewis: Yeah, it’s interesting. It does map but we opened up the – the feel to look at, but at the same time I think it really tightens the funnel through which things get through. Because as we look at it underwriting this type of asset. You know you have to sit down and say okay as we’re trying to underwrite things, what are we looking at. And as you know, traditionally our underwriting has been a function of five or six things that we’re looking for and those are usually you know we want to tenant with multiple cash flows, so in retail that’s a chain. If you look over to doing distribution or office or manufacturing, we still want a very large company with multiple cash flows. So if this is their only distribution facility or one of a couple or this is only manufacturing, have only one line of business. I think that’s going to knock. They’re now relative to being something we look at even though the property type fits. And then the second thing is I think for us referred to be worked well for us to do significant due diligence on a tenant, if they’re going to have to – real estate’s going to have to be an important to them and they’re going to need to have a fair amount of real estate, so that the work we do could be amortized over a number of properties. And then I think if they also need to be pretty critical to the manufacturing of their EBITDA. And as you know, we’ve always said that the most important underwriting metric we have is looking at the properties we’re buying, calculating the EBITDA and getting out idea of the cash flow coverage. And in some of these types of properties you don’t have that and when you don’t have it in order to still have a margin of safety. We’re going to have work out the credit curve as we do it. So I think the majority of this that we would do would be less than or it would be investment grade. And so that will tend to knock out a huge part of the pipeline that’s coming through the door now and then second tenant with multiple cash flows. So we’re seeing much, much more just generically coming to door, but a lot of it gets cut out pretty quickly, but I think it will add to our acquisitions in the next few years. Right imagine that somewhere between 10% to 20% to 30% to 40%, 50% of what we do maybe in these areas and if you add that to the overall portfolio it’s fairly modest in terms of how quickly these will build.
Anthony Paolone – JPMorgan: Okay. Thank you.
Operator: And our next question comes from the line of Lindsay Schroll of Bank of America/Merrill Lynch. Go ahead please.
Lindsay Schroll – : Good afternoon.
Tom Lewis: Hi, Lindsay.
Lindsay Schroll – Bank of America/Merrill Lynch: I know you guys said that the flow that you’re seeing is similar to last year, but how does that breakout in terms of larger portfolios versus one-off acquisition? Are you seeing more in one area or another or just the same as last year across the broad?
Tom Lewis: I throw that to John Case, our Chief Investment Officer. I think flows about the thing, what do you think?
John Case: Yeah, I think that the flows but same. It really doesn’t vary. It’s not varying much than what we saw last year. These larger portfolios are somewhat unpredictable. We’ve seen couple of them but we’ve seen a lot of smaller opportunities as well consistent with what we’ve saw in 2010.
Tom Lewis: You know I would guess looking over the last 10 years that we see anywhere from 4 to 6 of things a year and typically about 0 to 2 and then last year just happened to be 3 and we had one at the beginning of the year. So they are out there. They do come to us but I think last year the hit rate was just higher but it looks similar this year. Lindsay Schroll – Bank of America/Merrill Lynch Okay and did you on the last transaction you guys announced, did you face any competition for that deal, just sort of curious how it was sourced to came above?
Tom Lewis: Yeah I’ll give you a little background, it came from a company out of cargo called ECM and they had filed an S-11 to go public earlier last year and have been going through all of the various spaces of that and as we got into the fall, obviously the IPO market marine space became much more challenging and so they started looking for other alternatives. And we had been watching it and had an opportunity to sit down and talk to them about what they were trying to accomplish, and there were a number of other parties that we’re taking to them and looking at the transaction and we were able to sit down with them and have a just a very good discussion, we also like the people and hit it up very well with them and the portfolio was a little over $700 million and it was very office centric and then there was also a substantial amount of retail that they had, but it was not part of their S-11. And so when we sat down with the first question is globally what are you trying to accomplish for your constituents? And as we were able to talk about that with them, we then were able to say office net lease probably has the less interest for us and we were able to substantially lessen that as part of the portfolio. And then retail is very interested us, so we could add that back in and get to a number in this case $544 million that met their needs. So I think a lot of the people that we’re talking to them kind of move to the side as we were able to get a larger more holistic type of situation together. And then I think after that there were probably a couple of other parties that were still interested, but I think our ability to close and track record of doing so without retrading and doing other things it was helpful. But it’s a nice relationship that was formed with the people.
Lindsay Schroll – Bank of America/Merrill Lynch: Great. Thank you.
Operator: And our next question comes from the line of Jeffrey Donnelly with Wells Fargo. Go ahead please.
Jeffrey Donnelly – : Good afternoon guys.
Tom Lewis: Hey, Jeff.
Jeffrey Donnelly – Wells Fargo: I’d like Tom’s picture on the website by the way.
Tom Lewis: Okay. What I meant is please look at the website sometime later.
Jeffrey Donnelly – Wells Fargo: As I can summarize Tom, I think you’ve been saying that compared to the last 30 years, you think the next ten, the fundamentals of our consumer driven business will be relatively softer and that’s leading you to – to look outside, other types of property. Well, you’ve got a fairly unique cost of capital right now. So I guess I’m curious what prevents you from taking bolder action I mean in ECM certainly was one step up. But should we expect more transactions like that rather than just sort of one of these two reasons in whatever the venue their office I mean?
Tom Lewis: We’d certainly like to do that when you start looking at very large portfolio. If I think they become challenged for a enough of that portfolio to be something that makes it through underwriting where there is a huge population of them out there although we’d love to see that happen. And I’d like to think between this transaction and that the (inaudible) last year, you know $800 something million of which $600 million, $700 million plus was in these new areas was fairly bold for it. But the population group, I think is likely to be in little small – smaller chunks. But we’ll be as bold as we can be as long as it fits the underwriting. And I don’t want to characterize that we’re negative on retail, we just think as you said it will be a little more challenge that has been in the last 20 years. And then the motivation for doing this kind of moves into three or four different things. But we’ll – we’ll move as quickly as we can move, but the underwritings the secrets it as and you look back on the last 20 years and we could have bought a lot more than we did and then we also trying to go back historically what’s – what happens to it and we would have a lot more problems than we would. So it’s a – we’d like to do a big deals, but they’ll come as they come.
Jeffrey Donnelly – Wells Fargo: I’m curious in what evidence you have for selling efforts?
Tom Lewis: Well that’s an interesting one. I think it will be more active in selling assets for not – perhaps not here this year, but also in years in the future that’s something that we’d like to run at a little higher rate to more actively manage the portfolio. And if you will allow me Jeff, maybe I can tell two words in one stone and kind of explain for folks, what are the three of four things we’re talking about. That’s kind of let us to do what we’re doing and then secondarily where we’d like to go with the portfolio and that will speak to maybe selling more, is that right?
Jeffrey Donnelly – : Sure.
Tom Lewis: Sure. As we – a couple of three years ago went through a strategic planning process with our board that we haven’t done in quite a while there. The first thing that Jeff alluded to is looking at the consumer retail business and saying look it could be a little tougher. Obviously the consumer levered up in the last 20 years. We had good job growth and retail was just very good and it could a little softer in the next 20 years. And then second as you look at what we did as we really expanded our industries from five to 30 industries where we’re getting relatively penetrated in retail to the extent where if we add anybody new, I think we move off into the big box space which is not an area that we want to do that. And then the third thing relative to retail is if you look at what we buy which is the smaller net lease retail box, it is gone more mainstream over the last five to 10 years and I think it’s a little more competitive and moderated cap rate. And so looking at that looking outside was something that we wanted to do. You know and I really tied to going from five to 30 industries and wanting to expand some more. As we do that being penetrated in the retail, you start looking outside of retail like we did (inaudible). And to get that non-retail exposure to get in to new industries, you’re going to get the non-retail type property. So it’s really more driven in terms of wanting diversified not the assets in the different property type but really more industries that we can go work in to do net lease financing. Now this next part kind of speaks to going up to the credit curve and then also probably selling a little more in the future. One of the things we talked a lot about and going through this strategic planning elevation is looking in the last 30 years, we’ve been pretty well in our declining interest rate environment. And if you look what that did for people in terms of their growth rates, in terms of how they handed their balance sheet and their debt levels and how it changed people’s behavior. It’s pretty stunning that a lot of people will use a lot more debt. And we’ve kind of asked ourselves, if you then look forward over the next 5, 10, 20 years obviously interest rates would brought a lot and they could stay low and will assign a probability to that and say for lack of a better number 25%. But then you start saying what are the chances over the next 5 to 10 years that interest rate twice. And you start like thing something I will let if interest rates go up say 200 basis points for permanent financing in the next 5 to 10 years and you kind of walk through your business and say what would that do when you look at your tenants, you look and kind of refinance their balance sheet for them at 200 basis points higher and then say how comfortable in I would add and you’re probably okay at least we are because we have a high cash flow coverages, and then say let’s give that a 50% probability, which we think is fairly reasonable given it’s 200 basis points off from very low interest rate, and you’d say, okay well that caused us to do. And then I think you’re kind of taking outlier and sign a 25% chance that interest rates go up significantly higher, and maybe people have to refinance their balance sheets at 400 to 500 basis points higher. You look at that and say, what does that do? How comfortable are you with that, and you get about a 25% probability. And when you sit down and do that kind of three or four questions come up. One is that, what do you want to do with your own balance sheet? I think the answer is, while we have that modest task, if we thought that interest rates could go up substantially, we probably want to moderate our leverage. And as Paul mentioned earlier, debt stand about 25% on the balance sheet, and part of that is a function of having done three equity offerings in the recent moths. So that’s one thing we are trying to do. And then, what does it make you do relative to your existing portfolio? And if you do take the kind of base and you do it on prior refinancing rates off those and then you marry it to look at the properties and what their cash flow coverages are, and then go a step further and look at what markets they’re in, and where job growth is, there is some population growth. We are trying to go through a phase of taking the whole portfolio of kind of tenant-by-tenant, industry-by-industry and property-by-property, and laying out on a risk standpoint, where we think the risk sits and then think about over though right away that appear to 3, 4, 5 years, what you’d want to be selling and how you’d want to do it. And we’re kind of in the midst of that right now. And then the last step for that is, obviously what you do with your acquisitions. And I think, going up to credit curve, if you can do it and spreads allow us right now, that is really going to increase the quality of the portfolio, and if you look at possibly higher interest rates at some point down the road or at least the probability of it, that is going to take some risk out of portfolio. So if you kind of look in context of the last year, we started working on this a couple of three years ago. We’ve closed you know 1.2 billion or so or we are about to close in the last 12, 13 months, $700 million of that is been in new industries probably $750 million of that been has been up to credit curve into investment grade and we try to fund it primarily with equity in the last few so, that’s essentially what we are trying to do is to take debt down trying to manage the portfolio for what it would be a little more challenging environment and I think we’re off to a good start. Doing it while you raise FFO because cost of capital is good as really been a nice advantage to do that and be able to raise the dividend and to get payout ratio at the same time and then if you look forward and say okay five to ten years from now down the road interest rates are higher I think will be very well served by it and if interest rates don’t go up then we are in good shape and we’ll have access the leverage is up, that’s kind of what is driving all of this.
Jeffrey Donnelly – Wells Fargo: It’s helpful, actually if I could ask one last question, just about the different types of assets you consider you know you mentioned looking at assets that were difficult to separate the earnings generation from the asset itself, what do you think about healthcare assets or large space assets, I know there is another REIT up in the San Diego area that has assets like that, or data centers? I mean all three of those are arguably ones that are difficult to separate, the kind of niche, there is enough of the cap rate difference to make some sense for you guys?
Tom Lewis: Yeah, it’s part of it’s that – kind of when I went through background, that I’ve also alluded to that, what has worked for us over the years is working in the factors that aren’t efficiently financed or mainstream. You know that for us, that was fast food and child care and then auto service, and each of those became mainstream. So we looked a few years ago at healthcare, and there are just a lot of people out financing that and they’re fairly well funded. Data centers there are some people running after that and each of those are specialized, they have some pretty good expertise. So we haven’t seen those as huge areas for our expansion, but we’re also do anything that we can underwrite, understand and has either a cash flow coverage we can look at, and we’re confident in that it pay less the building they lose the EBITDA or work up the curve. So that those three areas we kind of watched with interest, but I think they’re being pretty aggressively financed right now by other people.
Jeffrey Donnelly – Wells Fargo: Okay. Great, thank you.
Operator: And our next question comes from the line of Gregory Schweitzer with Citigroup. Go ahead please.
Gregory Schweitzer – Citigroup: Thank you. Hi guys, I’m (inaudible) with him as well.
Tom Lewis: Hey, Greg.
Gregory Schweitzer – Citigroup: Just a follow up on some of the previous questions, and in regards to new industries, have you narrowed down a few or done a due diligence on as you guys talk about, as you continue severance funding up to the 50, 60 industry target?
Tom Lewis: We are kind of in a mad rushed to a lot of at once, but I’d have to say, kind no. As we said last year, we had done due diligence on a number of areas, and got nowhere in line was one, the beverage industry and so that’s one that we really head down a lot of work on. Another one is probably four or five years ago, we assigned one of our people for a year to work in the banking industry and we really aggressively went after and talked every bank in the industry in terms of what they were doing but at the time they really didn’t need capital and when we went back and looked at him again a year ago some of them need capital but we couldn’t figure out what their credit situation is but we’ve done a lot of work there, but seem nothing out of it, there is probably three four more behind that and then we’re really it kind of looks like it did here in 1997, ‘98 ‘99 when we added research we’re really starting to widen the net now and look broadly over a lot of them and at the same time trying to see whether some work to be done, but we don’t have big signing targets, what we done huge amount of research we’re kind of going after now as we do.
Gregory Schweitzer – Citigroup: Okay and then, have you got through the internal reviews that you were taking about earlier, any sense on how much or what portion of the ECN portfolio you might want to sell down the road or are you comfortable with all the tenants in the industry for the long haul at the moment?
Tom Lewis: Yeah we are very comfortable with the tenants, and you know I mentioned before the office for net lease is one for us that’s a little harder to get our hands around relative to release at the end of it. And is open ended question, so that’s where we probably have less interest, we did substantially get the office down to this where it was just three buildings and we’re comfortable with them and with the prices we paid, you know that’s one option to stick back there, but given my conversation earlier about the entire portfolio, I think there is more things there that we’d want to sell than in this particular area, but when you look at the distribution, the tenants, the biggest tenant in here is FedEx with eight of the properties, but it will now be about 2% of our revenue. And the distribution people are investment grade, the office there are close, the manufacturing is MeadWestvaco and Coco-Cola. So those are all areas that we are very conformable with what we have, and I think sales would really come out of the existing portfolios in some areas that tenants and individual properties where we think there might be more risk.
Gregory Schweitzer – Citigroup: Okay. That’s helpful. And I will talk one more the properties and development that required the course was that outside of the portfolio deal?
Tom Lewis: Yes, it was and we are not showing a lot of development and I am look to only have two currently development.
Gregory Schweitzer – Citigroup: Right.
Tom Lewis: And then we have couple of other prosperities that are more less I wouldn’t called redevelopment I called them added investment into fixed development whether expanding on side for really we just had two properties in the entire portfolio, that we are funding new construction from they want.
Gregory Schweitzer – Citigroup: And with that unique opportunity or is that something you are not continue to look at and high – how do you evaluate that?
Tom Lewis: Existing tenant – relationship.
Paul Meurer: Yeah.
Tom Lewis: We’ve got a couple of tenants one in particular that we’ve done a lot of their new stores and very consistently there, extraordinarily profitable, and so we have a comfort level with them. And that’s a majority and there is just new stores they are opening, but like I said we normally like to buy existing with cash flow coverages but we have get that bind any that these guys didn’t open that it didn’t end up with high cash flow coverages. So while it’s very small as part of the overall acquisitions, we are comfortable with these people, and then some others just want to turn it will come to us and say, we want to expand this particular site or some excess land. Obviously we are in the mud to invest, so if they are willing to roll the lease back to a full terminal, allow us to do some added investment, we’re happy to do it, but it’s relatively small.
Gregory Schweitzer – Citigroup: Okay, great. Thank you very much and (inaudible).
Operator: Thank you. And our next question comes from the line of Todd Lukasik with Morningstar. Go ahead, please.
Todd Lukasik – : Hi, good afternoon, guys.
Tom Lewis: (Inaudible)
Todd Lukasik – Morningstar: Just following up on the development, can you guys disclose how much more you’re going to be spending, and when they are expected to be completed.
Tom Lewis: I think its 16.2 million, I believe is the number and there is about 7 million more to fund so relative the size of the company it’s not huge and those are all subject to leases that we have written before the development happens and the completion is guaranteed by the tenants so there is no development risk.
Todd Lukasik – Morningstar: Got it, okay.
Paul Meurer: Cost and timing taken care of relative to development risk.
Tom Lewis: Right.
Todd Lukasik – Morningstar: Got you, okay and then just thinking about needs for exploration, the retail versus the non-retail obviously on the retail side the EBITDA coverage rent gives you some good indication as to whether or not the tenant is going to renew or it will be relatively easy to release upon exploration you mentioned that sometimes on the non-retail side you guys are either aren’t getting that data specifically or is harder to identify are there any other sort of metrics that you look at there, as is just moving up the investment credit curves that gives you confidence that’s a the least exploration.
Tom Lewis: It is moving up the credit curve that’s makes us comfort that we’ll get paid from now to the lease as correction.
Todd Lukasik – Morningstar: Right.
Tom Lewis: Having EBITDA, they can walk away from. And as we did this part of our process, and why it’s going to be a very big funnel, for instance if you’re looking at distribution, and you have a site, you want to make sure that first of all that there is a credit standards. Second you want to know, what they are doing with it advertise and other operations. Is it a distribution facility, that is sitting next one plant, what if the plant closes does it serve two or three plant. Second is that, this recent facility, that is fully built out, ideally what you probably want is additional land and a lot of these people like to put additional land. So as time goes on and they need to expand their business, they can do it. That gives you an opportunity to rewrite the lease up to a longer-term again. So we’re looking for that, and then upfront in these, we’re trying to make sure that the prices we’re paying and that the cost we have as you get more into the industrial pipes give us some margin of safety there. So I think it don’t over pay, really understand use they have make sure they’re up to current standards. But have a good feeling that is a particular one of their distribution in manufacturing facilities but they’re likely to use for many years to come because it’s closer to headquarters or the distributions closer to manufacturing facilities. So we’re really working on that and working up the learning curve, but we start with getting a long-term lease in an investment grade credit.
Todd Lukasik – Morningstar: Okay that’s helpful. Thanks a lot guys.
Operator: And our next question comes from the line of Rich Moore with RBC Capital Markets. Go ahead sir.
Richard Moore – RBC Capital Markets: Hi, good afternoon guys. On the ECM transaction is there anything else in their portfolio or was just the whole thing, I mean would you add something else that they have or you kind of done with them?
Tom Lewis: No we, we’re done for now, they are ongoing entity that will continue to invest for the benefit of their investors and we like each other and so we like to have an ongoing relationship if there is some things to do in the future relative to what they have now we obviously we’re able to take some things that didn’t fit us well or we didn’t know as well and move those out, and those things did fit us we are willing to do all that they have or fit their needs for sales, so I don’t see a lot to do with them right now, but there may be overtime and stuffs we do in there good people we wouldn’t mind that.
Richard Moore – RBC Capital Markets: Okay Tom, thank you and then do you still kind of close everything in ECM that you are going do by August – by end of August I think you said before?
Tom Lewis: Yeah, that’s our best guess right now. I think by end of August, we should be able to do it, but as you know there is some debt to assume which we typically want to pay off as fast we can, because we don’t want mortgage debt, but when you get into the assumption some mortgage services things can slide a bit, and at this point that and maybe a couple of a closing issues could hold us up but that’s the plant for now
Richard Moore – RBC Capital Markets: Okay and speaking of the debt, I think you had said you want to eliminate like 223 out of 291 million?
Tom Lewis: Yeah.
Richard Moore – RBC Capital Markets: Is that done, have you done that, are you still working on that?
Tom Lewis: We are working and that process and that will continue through closing and after closing. There may be a more another $20 million, we have to take honor. So it’s just as function of – it turns out it was uneconomic to pay it off, but that will fly and again that’s the mortgage services and people we work with, so happy, happy to get it all paid off, but don’t want to do when it becomes economic, that splits a little bit but not that much and we’re working on it.
Richard Moore – RBC Capital Markets: Okay, I got you. And then I think you sold three vacancies in the quarter, does that sounds right?
Tom Lewis: We sold three properties in the quarter most likely we found somebody who wanted to occupied and – occupied and we prepared to sell them rather than lease them.
Richard Moore – RBC Capital Markets: Okay, I got you. And then will that continue do you think I mean is there a – is there a – I don’t know and the interest from tenants to buy the properties and then the owner occupied kind of thing that would take so more of that that 81 – those 81 assets that you have that are vacant?
Tom Lewis: You know to the extent that you know anytime we get out of 81, we seem to add some and that’s kind of the normal rate that fits there given rough to 2005, 19 properties, but typically what happens is we’ll go out to lease those. And when we find a tenant it either is one that’s fits our portfolio on which case we’d rather keep it on the books or it’s one that doesn’t fits the portfolio and at that point, we’d like to help them to own it. And that has been running anywhere. I just have to look at that this morning anywhere from $15 million to $35 million a year for the last 10 to 11, 12 years in sales. But what I think maybe not this year but moving into next year and the year after I think sales will accelerate but that’s more a function of just work in the portfolio not vacancy and relief.
Richard Moore – RBC Capital Markets: Okay, I got you. Good thanks. And then lastly I had is – was there some particular emphasis to do the dividend reinvestment plan now. I would have thought – I didn’t – you think about it you guys would have had one of those before and I guess you didn’t right now and why I guess now did you suddenly decide that’s a good idea?
Tom Lewis: Yeah one suddenly you know out of this strategic plan process that were a number of initiatives and one of them is one that really build our brand. The monthly dividend company which worked very well for us in the recent years and the financial community and continue to do that really with that income oriented investor. And so it was all tied together with the relaunch of the website which is the first step of a program there over the next few years and adding in the direct stock and the dividend reinvestment at the same time of that. So we really held off on it knowing for a couple of three years that was coming and so we could relaunch the website and really, really start the initiative, they were tied together.
Richard Moore – RBC Capital Markets: Okay, very good. Thank you, guys.
Operator: And our next question comes from the line of Joshua Barber with Stifel Nicolaus. Go ahead please.
Joshua Barber – : Hi, good afternoon. Most of my questions have been answered. I just had a quick one as long as we’re on acquisitions. Is there any interest in perhaps some public deals not so much non-IPOs but perhaps other lease that’s out there or was that going that you’re not really thinking about right now?
Tom Lewis: Yeah, that is one we’re always open to but it is long-term been a challenge for us, there was a period there you know from probably 1997 to 2008 where we were offered 7 or 8 and we got very close with the couple and we did a tremendous amount of research and in each case while it came down to is you know you work so hard quarter-by-quarter to meet your underwriting characteristics to your business and then to take a large portfolio underwritten from somebody else all at once that is diversified where you’d have to do all that work and its already been done and they’ve done it differently has made a really problematic to do so and in order to do it you then are looking for some discounts that we would try and reduce or mitigate that risk of taking on other peoples underwriting so you know in each case we couldn’t quite get there and I’ve become a little suspicious to that’s something that will happen on the long-term, but I think is appropriate to remain open to the possibility.
Joshua Barber – Stifel Nicolaus: Okay great thanks very much.
Tom Lewis: Thank you.
Operator: And our next question comes from the line of Omotayo Okusanya with Jefferies & Co. Go ahead.
Omotayo Okusanya – : Hi guys good afternoon congratulations on a good quarter.
Tom Lewis: Thanks Omotayo.
Omotayo Okusanya – Jefferies & Co: Quick questions, in regards to the guidance outlook on the acquisition side.
Tom Lewis: Yes.
Omotayo Okusanya – Jefferies & Co: How should we be thinking how you plant to fund that permanently, should we be thinking about what you’ve done in the past as you, you know once you announce the deal you kind of putting that equity a little bit after that or are kind of thinking about funding that’s a little bit different on a going forward basis?
Tom Lewis: Yeah we pre-funded a lot of this with the equity raises, and if you look at the depth that we’ll assume on this, albeit we’re trying to pay if off I think right now cash on hand gives us a long way towards funding the vast majority of this purchase.
Omotayo Okusanya – Jefferies & Co: Right.
Tom Lewis: We still have the line sitting there if we did small acquisitions on a regular basis it think it build the line up to a $100 million, $150 million before you do something. If you get a large acquisition then I think you try and fund it right away, so you don’t create a lot of overhang.
Omotayo Okusanya – Jefferies & Co: Okay.
Tom Lewis: And given what I said earlier, I think equity – these prices would our choice, preferred also attractive. But if you get into a very large transaction, this is interesting because we did it Diageo last year $300 million and we were wondering about what overhand issues would be to equity, so we started with debt. So all cards are available equity goes choice number one, preferred two, but debt if we think we need to that if we’re going to have to do multiple financing.
Omotayo Okusanya – Jefferies & Co: Got it, okay. And then just kind of – what comfort zone you think should be heading in the market, any interest in doing more dispositions and recycling the (inaudible) in the portfolio?
Tom Lewis: Yeah as I mentioned a little earlier, we’re really in the midst of a project here to take the whole portfolio and look at it from a tenant and industry basis and then separately by a property basis. And really you know we’ve taken it, we put together spread sheets and then put in each market that they are in and rate at the market for job growth and population type of job growth and all of that. We’re in a middle of a process to do that, at the end of it what we want to kind of do is have internally our entire portfolio of scale, most risk to less risk and at that point Omotayo I think we will want to do more active portfolio management and selling a few more but I think it’s going to take through this year to get a lot of that done. We also won all the acquisitions we’ve done so far this year, you know to have the spread hit the bottom line so we an lower the payout ratio while increasing the dividend. One of the interesting things about actively managing the portfolio is that we have paid $300 million of acquisitions with an eight cap that the cost of capital is six and we’re clearing $2 million and we have $300 million of that that’s $6 million and its 4.5, $0.05 of new FFO on spread.
Omotayo Okusanya – Jefferies & Co: Yeah.
Tom Lewis: And to the extent that we take a $100 million out of the existing portfolio, yielding us eight and sell it, we take about 1.5, $0.06 for each $100 million with a 200 basis points spread, out of our growth for acquisition and that assumes that at the cap rate now what you are selling equals the cap rate now what you are buying, if you are selling those things you think it might have some more risk down the line. I think you want to assume that the cap rate is a little higher and so it does eat into your FFO, so I think each year it’s going to be taking a look at FFO growth getting to a good rate of FFO that allows you what you want to do relative to raise your dividend and then thinking if there is some of that you might burn off by taking some risk out of your portfolio and I think it’s going to be year-by-year and its likely next year is the start year we start doing that in the portfolio, but it is something I have an interest in.
Omotayo Okusanya – Jefferies & Co: Got it thanks a lot.
Operator: And our next question comes from the line of Andrew Dizio with Janney Capital Markets. Go ahead please.
Andrew Dizio – : Hi good afternoon guys.
Tom Lewis: Hi.
Andrew Dizio – Janney Capital Markets: Hi just a kind of follow-up to Richards question, about the reception to the direct program, the direct stock purchase options, if you kind of have an early lead on how much capital that will provide each quarter, do you think it’s the kind of thing that can fund this small one off transactions you see every quarter?
Tom Lewis: You know I think it’s very small I really do. It is something that three years we didn’t add because we thought it was really small and most people who did it had the company pay for which means the existing shareholders. We’ve set it up, so the people who use it pay for it and we just want it as an option kind of the overall program of the website and what we’re doing is to kind of be able to work directly with our consumer there but we assume most of their purchases are going to come through their brokers be that and having a full service financial advisor or whether they do that in some other fashion. And what – it’s really not through us majority of the purchase will come but we did one-off for it is an option and we thought a good time to do as when we put the website up. But I don’t think it will be big and we’ll report it as we go along but we’re only a couple of weeks into the website and I think you know 10 or 11 days relative to direct stock purchase and I know somebody has done it but don’t have a read on volume, don’t think it’s big.
Andrew Dizio – Janney Capital Markets: All right. Thanks a lot.
Operator: Ladies and gentlemen, this concludes the Realty Incomes’ question-and-answer session. I’ll turn it back to management at this time.
Tom Lewis: Okay. Well thank you everybody for taking the time, and I look forward to seeing you all soon at (inaudible) in ICFE and thanks again.